Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the CSG Systems Q2 2010 results conference call. (Operator instructions.) This conference is being recorded today, Tuesday, the 27th of July, 2010. I would now like to turn the conference over to Ms. Liz Bauer, Vice President of Investor Relations. Please go ahead, ma’am.
Liz Bauer: Thank you, Lorenzo, and thanks to everyone for joining us. Today’s discussion will contain a number of forward looking statements. These will include but are not limited to statements regarding our projected financial results; our ability to meet our clients’ needs to our products, services, and performance; and our ability to successfully integrate and manage acquired business in order to achieve their expected strategic, operating, and financial goals. While these statements reflect our best current judgments they are subject to risks and uncertainties that could cause our actual results to differ materially. Please note that these forward looking statements reflect our opinions only as of the date of this call and we undertake no obligation to revise or publicly release any revision to these forward looking statements in light of new or future events. In addition to factors noted during this call, a more comprehensive discussion of our risk factors can be found in today’s press release as well as our most recently filed 10-K and 10-Q, which are all available on the Investor Relations section of our website. Also we will discuss certain financial information that is not prepared in accordance with GAAP. We use this non-GAAP information in our internal analysis in order to exclude significant items that may have a disproportionate effect in a particular period. We believe that isolating the effects of such events enables us as well as investors to consistently analyze the critical components of our operating results and to have meaningful comparisons to prior periods. For more information regarding our use of non-GAAP financial measures we will refer you to today’s earnings release and non-GAAP reconciliation tables on our website, which will also be furnished to the SEC on form 8-K. With me today on the phone are Peter Kalan, our Chief Executive Officer and Randy Wiese, our Chief Financial Officer. Before I turn it over to Peter and Randy I want to encourage everyone to save the date for our Analysts Day. We’ll be holding our Analysts Day on Thursday, December 9th, at the London Hotel in New York City. We hope that you’ll be able to attend. With that, I’d now like to turn the call over to Peter.
Peter Kalan: Thank you, Liz, and thanks to everyone for joining us on the call. I’m pleased to report that CSG continued to execute well, posting Q2 revenues of $131 million and non-GAAP EPS of $0.53 per share. Our revenues increased 5% from the Q2 of 2009, and we experienced growth over our Q1 of this year also. Equally impressive, we’ve also been able to expand our profitability measures during this time frame. As we assess the overall business environment today, we continue to see our clients spend on those areas that have a well-defined return on investment and those areas that drive revenue growth. However, we’ve not seen an increase in spending on those items that are discretionary in nature, like advertising or marketing services. Our clients’ businesses are changing at a pace that this industry has not experienced in years. This can be attributed to competition, consumer choice, and the need to simplify the complexity involved with delivering a broad and deep number of products and services to the end consumer. In order to help our clients meet the demands of this dynamic and evolving marketplace, we continue to invest in those areas that enable our clients to succeed. We believe that our value proposition, providing highly scalable integrative solutions that maximize and monetize every customer interaction, will help fuel our growth in the future as we continue to help our clients execute on their business objectives. Our business target is three-pronged: first, we’ll expand the relationship with our existing clients. Second, we’ll expand our presence in new targeted verticals through existing relationships. And finally, we’ll improve the profitability of the business. Let me share with you some highlights from the quarter that demonstrate how we’re executing against these strategies. First, this quarter we signed a contract with Time Warner for our commercial services solution. Our solution will enable Time Warner to enhance a roll out of their voice and high-speed data offerings to small and medium businesses, enabling increased flexibility, reporting, and servicing of this market. Our cable clients are gaining tremendous success in the market long owned by the telephone companies by providing competitively priced and feature-rich all IT-based packages. Second, in this last quarter we reached a significant milestone as a result of our clients’ success in providing a voice solution to the marketplace. CSG now processes and manages the interactions of over 10 million voice customers on behalf of our clients. Enabling our clients’ success is a key motivator and driving force for our employees. These solutions that we provide to our clients are aimed at helping them drive new revenue streams and increasing their share of their consumer spend on content, communications, and information. But we don’t just focus on helping our clients increase revenues; we also provide them with solutions aimed at helping them drive operational efficiencies and an improved customer experience. This quarter we signed a contract with EastLink, a Canadian cable operator, to deploy our Workforce Dispatch, TechNet, and hand-held GPS across its national footprint. And another client completed the full deployment of our hand-held GPS device across one of their regions. Our Workforce Express solution is the most deployed workforce automation product in the cable industry. It delivers a strong ROI for our clients as it delivers operational efficiencies and cost savings by routing the right technician with the right skills to the right job with automation, and does so with highly effective scheduling to improve customer satisfaction. Next I’d like to share with you a couple of our successes outside our core market. This quarter we helped launch a new service with cloud gaming provider OnLive, a new service that’s making 23 popular console games available to consumers through the cloud. Our Content Direct solution, which provides an end-to-end content management and monetization platform for content creators, is the merchandizing and commerce platform behind the new service. OnLive joins companies like Ultimate Fighting Championship and Universal Sports in providing entertainment directly to the consumer as well as through more traditional delivery avenues. We continue to see more over the top providers looking for ways to monetize their content and create more engaging interactions with their customers. Our Content Direct solution provides a turnkey approach for these content and entertainment providers to make their products available to consumers free from the restrictions of a specific device or a specific location. We believe that we are very well positioned in this market that is truly at its infancy. Another area that we continue to make progress in is the pharmaceutical and healthcare sector. Quaero, our customer engagement agency, was selected by a leading research organization to provide a comprehensive marketing solution aimed at increasing its market share within the biopharmaceutical market. The significance of this contract is three fold: first, it validates our belief that helping providers to make their customer and prospect data more actionable can lead to increased revenues and profits; second, it reinforces our position with Quaero, that providing more than a technology solution is valued and needed in the marketplace. We’re delivering a comprehensive marketing solution for this company including the creation of a sophisticated marketing database that can be used to determine the best and most efficient manner to acquire new customers in a multi-staged approach. Additionally, the Quaero team is providing strategic marketing counsel, delivering valuable sector insight, and helping the client identify and market through their preferred communication vehicles to move prospects from awareness to interest to desire to action. And finally, it reinforces the point that every communication with a prospect or customer is increasing in importance and can be maximized and monetized by creating more relevant and meaningful interactions. We continue to believe that helping our clients understand more about how their customers interact with them and then putting plans in place to enhance those engagements can lead to higher customer satisfaction and an increase to customer value. Finally, CSG has always been known as a strong operator and prudent financial manager. This past quarter we saw a solid improvement in our operating margins. This improvement can be attributed to the successful migration of a significant portion of our data center to the new facility, and our continued focus on expense management. As everyone in the tech industry knows, migrating from one data center to another is a very complex and time consuming activity. Thanks to our highly skilled teams and the cooperation of our clients, this task was executed in a highly organized, efficient, and successful manner. We’ve also strengthened the sales and marketing area of our business with the recent addition of a proven sales leader to our team. I’m pleased to announce that Mike Henderson has joined our management team as our new Executive Vice President of Sales and Marketing. Mike has over 20 years experience in the communications space with companies like Telcordia, ADC Telecommunications, and several others. He has a tremendous amount of experience, both domestically and internationally, in accelerating revenue growth, establishing strong channel partners, and expanding into new markets. Mike adds a dimension to our management team that should position us well as we look to leverage our solutions in new markets and look for new ways to help our clients grow their businesses. In summary, we’re pleased with our Q2 results. We believe that our performance demonstrates that we continue to expand our footprint with our core business and into new markets. We continue to improve the productivity and profitability of our operations with a major portion of our data center migration now behind us. And we remain on track to have this completed in full during the second half of this year. As we look into the future we like our position for several reasons. We serve the leading providers in their industries through long-term contracts, and in fact, we have no major contracts up for renewal until the end of 2012. We continue to listen to our clients and the market to drive our R&D and M&A investments. We continue to generate strong operating and free cash flows, we have a strong balance sheet, and we continue to provide more solutions that help our clients operate more efficiently and effectively, which translates into strong relationships and results. We appreciate your continued support of CSG and look forward to continuing to deliver results for our clients and shareholders alike. With that, I’d like to turn it over to Randy to review our financial performance for the Q2 2010.
Randy Wiese: Thank you, Peter. Welcome to all of you on the call today. I’m happy to share with you the financial results for our Q2 and our outlook for 2010. During this quarter we saw a combination of solid revenue growth and continued margin improvement to yield a strong bottom line result. This quarter demonstrates the key characteristics of our business – solid organic revenue growth, increasing margins, consistent cash flows, and an excellent balance sheet. Now I’d like to walk you through the financial results for the quarter. Total revenues for the quarter were $131 million, representing an increase of 5% year-over-year. This 5% revenue growth is all organic, resulting primarily from the year-over-year subscriber growth on our systems and continued adoption of our newest solutions. Revenues generated from Comcast and Dish Network were 25% and 18% respectively for the Q2, relatively consistent with the Q1. Our non-GAAP operating income for the quarter was $25 million, or a 19.3% margin. This non-GAAP operating income excludes $11 million of expense related to the transition of our data center for the quarter. This represents an improvement over our Q1 comparable non-GAAP operating margin of 18.5%, as we experienced a good portion of the operational and financial benefits from operating in our new data center following our successful migration efforts during the quarter and continued good expense management while still growing our revenues. Our GAAP operating income for the Q2 was $15 million, or an 11% margin. Non-GAAP EPS for the Q2 was $0.53, which compares to $0.50 for the same period last year. As a reminder, in addition to the data center transitioning expenses we excluded in our non-GAAP operating income, our non-GAAP EPS also excludes stock based compensation; the amortization of core and tangible assets; the amortization of the original issue discount for our convertible debt; any gains or losses incurred with the repurchase of our convertible debt; and new this quarter, the impact of one-time favorable adjustments to our income tax reserves. Let me provide a bit more color on this latter topic. For the current quarter, our effective income tax rate was 2% as a result of the final outcome of the IRS examination of our federal income tax returns filed for the years 2006, ’07, and ’08. Under current accounting rules we have been acquired to establish income tax reserves related to the uncertainty and realization of certain tax credits and incentives over the last several years. Upon the successful completion of the IRS examination during the quarter, favorable adjustments to these reserves were necessary. The impact of the one-time tax benefit related to the adjustment of these tax reserves is not reflective of our normal recurring income tax rate. Therefore, for purposes of calculating our non-GAAP EPS for the Q2, we used a normalized tax rate of 38%, which excludes the one-time benefits related to this matter. The 38% effective income tax rate used for our non-GAAP EPS calculations this quarter is higher than our previous expectations of 35% due to the continued delay of Congress’ approval of the R&D tax credits for 2010, as was the case in the Q1. This higher effective income tax rate of 38% versus our 35% expectation has a negative impact of approximately $0.03 per share on our non-GAAP EPS for the quarter. GAAP EPS for the Q2 was $0.35. Moving on to the balance sheet. As of June 30th, cash and short-term investments were $230 million, up $19 million from March 31st. We continue to deliver strong operating cash flows with over $24 million reported for the Q2. We spent $3 million on capital expenditures in the quarter, with approximately $1 million related to our data center transition efforts. As of June 30th, the balance of our long-term debt had a par value of $200 million, including $50 million of our 2004 convertible debt securities which have a put date of June, 2011. Following the end of the Q2 we repurchased $23 million in par value of these current liabilities. We will continue to reevaluate debt repurchase opportunities for the remaining $27 million still outstanding over the coming months. The term on the remaining portion of our $150 million par value convertible debt sits at 2017. Our solid balance sheet, coupled with our strong, consistent cash flow generating business model provides CSG with a continued stable capital base as well as the flexibility and resources to strategically invest in our future growth. Next, I’d like to review our full year guidance for 2010. Overall our expectations are relatively consistent with the guidance we provided last quarter. For the full year 2010 we are maintaining our expected revenue range of $522 million to $530 million, which represents organic growth of 5% to 6% over our 2009 revenues and an acceleration in the organic revenue growth rate from what we saw last year. We have a strong business model that provides us with good visibility into our recurring revenue sources. As Peter mentioned, we still have not seen a return to discretionary spending on marketing and advertising-related services to pre-recession levels by our clients, and we believe this guidance range takes this continued uncertainty into consideration. Moving on, as a restful of the slightly better than expected margin performance for the Q2 we expect our full year 2010 non-GAAP operating margin to be in the lower 19% range, which is a slight up tick of approximately 19%. Our margin estimates for 2010 remain consistent with our prior expectations. We experienced a good portion of the operational and financial benefits from the data center migration during the current quarter, and anticipate the balance of the full quarterly benefits coming through in the Q3. We expect these benefits to be offset by our planned investments in personnel, hardware and software purchases to pursue our long-term revenue growth opportunities. As a result, we anticipate our margins in the second half of this year will be relatively consistent with the non-GAAP operating margins reported in the Q2. This shows significant progress in our strategy to expand margins in 2010 and towards our long-term goal of sustained 18% to 20% operating margins. Our 2010 non-GAAP operating margin guidance excludes the impact of the data center transition expenses that are estimated to be approximately $21 million for the full year. We incurred $18 million of these expenses in the first half of the year, and expect to see the remaining amount in the second half as we wrap up these migration activities. The net impact of these costs on our full year 2010 GAAP operating margin is estimated to be approximately 400 basis points, resulting in an expected GAAP operating income margin of 15% for 2010. Next, we are making a slight increase in our guidance for our non-GAAP EPS. We now expect our non-GAAP EPS for 2010 to range between $2.16 and $2.22, up from our prior guidance of $2.13 and $2.19. This guidance increase relates primarily to our strong Q2 results. We expect our GAAP EPS for 2010 to range between $1.15 and $1.20, which represents an increase to our prior guidance, caused mainly by the one-time GAAP income tax benefits we experienced for the current quarter. Our non-GAAP EPS reflects the use of an effective income tax rate of approximately 35% for the full year 2010, consistent with our previous expectation. This income tax rate ignores the one-time tax benefits we experienced in the Q2 that I mentioned earlier in my comments and assumes that Congress approves the proposed 2010 R&D Tax Credit legislation before the end of the year as it has done so consistently in the past. Next, our expectations for cash flow from operations for the year remain unchanged from our prior guidance of $105 million to $112 million. These 2010 cash flow expectations include a negative impact of approximately $12 million related to the cost incurred for our data center transition efforts. Absent this impact our 2010 cash flow from operations would be more in line with our historical annual level of $115 to $120 million. Our expectation for 2010 capital expenditures is approximately $16 million. This estimate includes the $2 million spent on our data center transition efforts, and we do not anticipate any further meaningful CAPEX requirements as the migration comes to a close over the coming months. To summarize we are very pleased with our results for this Q2 and how we are positioned for the second half of the year, as evidenced by our good organic revenue growth, improved operational profitability, strong cash flows and solid balance sheet. We believe that we are well-positioned to continue to create shareholder value. I will now turn it over to the moderator for questions.
Liz Bauer: Moderator? This could be awkward.
Operator: Pardon me. Thank you, sir. We will now begin the question-and-answer session. (Operator instructions.) Our first question is from the line of Ashwin Shirvaikar from Citigroup. Please go ahead.
Ashwin Shirvaikar – Citigroup: Hi, thanks. And good quarter, guys. My first question is just a clarification on the tax rate. Randy, did you say what the cash tax rate was? I might have missed that.
Randy Wiese: I did not say what the cash tax rate is, just the book rate.
Ashwin Shirvaikar – Citigroup: Okay. So what is the cash tax rate?
Randy Wiese: I would say, Ashwin, I would say the cash tax rate for the Q2 is pretty close to the book rate.
Ashwin Shirvaikar – Citigroup: Okay.
Randy Wiese: If you looked at the cash flow statement there’s not much activity in the quarter for deferred income taxes, which indicates that the book and the cash rate are probably pretty close to each other.
Ashwin Shirvaikar – Citigroup: Okay, and so the cash flow impact of the tax settlement is, how should I think of that?
Randy Wiese: It’s a non-tax event. Ashwin, the way you should look at that is it’s just a release of a previous income tax reserve so it has no impact on current cash.
Ashwin Shirvaikar – Citigroup: Okay, got it. I just wanted to sort of step back and ask a couple of macro type questions. One was Comcast/NBC – do you see any impact from that? And I don’t mean just negative impact, but also what else could you be doing for a combined company? And then I had a separate question on the pricing of the offerings and how does the pricing work for some of the UFC and other media property and gaming offerings.
Peter Kalan: Okay. Ashwin, this is Peter. I’ll take both those. First of all from the Comcast/NBC/Universal transaction that’s, you know, bringing those businesses together – in the near to foreseeable future we don’t see anything really impacting us negatively or positively through that just because of the nature of Comcast bringing the businesses together and really thinking about managing different types of businesses. When you look at it long-term though, you have to believe that there will be continuing waves of, or clients will continue to evolve and investigate new ways to distribute and really engage with the consumer with content. And we think that will all be part of what we’ve said in the past, that consumers will be given more choice about where, when, how they consume, and we think this will provide some of the vehicles for those new models to be explored. In the nature of what we do for our clients, we think that creates opportunities. Changing business models, complex business models for our clients is where we’ve shown a good history of being able to help them as they bring new ways to monetize their networks and monetize the content that they have rights to distribute with. So we think long-term it’s an interesting opportunity and we think it could provide opportunities, but it’s difficult to say right now – the size, scope, and whether we really will have a chance. But change is, we think, good. In regard to our Content Direct and the services that we provide to content owners like UFC and the gaming OnLive and Universal Sports, it’s important to understand that we provide this solution in the same way that we do our core business to our cable customers; and that is it’s an outsourced processing business that we provide. It’s not a pure license and software business. So we’re getting paid as we deliver services to them and as they build their business on our platform. Think of it that we get paid a fee based on the number of accounts or transactions that we’re managing for our customers. They’re consistent with some of the early stages of a marketplace; in some cases it may be tied to revenue sharing, sometimes it might be a fixed fee per account. We really work with our clients to make sure that we’re helping them as they try to grow these businesses, as well as work with our ecosystem partners to be successful in that as well. So first it’s a similar business to what we do domestically from a business model, and then secondly it’s similar to what we do for our cable and satellite: transactions times a unit price. Make sense?
Ashwin Shirvaikar – Citigroup: Yeah, that makes sense. Is it going to be possible at some point in the future to get the underlying sort of transaction metrics, maybe?
Peter Kalan: As we think about this early we want to be careful about what we maybe show and number of transactions and what any unit prices or revenue could be, because some of that may be showing too much information about what these new entrants are doing. And we’ve got to be careful that we’re not kind of betraying any of their information in a way that they wouldn't want us to, even if we did it in total. But it’s in the early stages. This is not material to our current financials. But when you look at the marketplace we do believe that it will have a bigger impact, and I think as it gets to that level we’ll be looking to give you more pieces to help you understand.
Ashwin Shirvaikar – Citigroup: Okay, got it. Thank you guys.
Peter Kalan: You bet. Thanks, Ashwin.
Operator: Thank you. Our next question is from the line of Karl Keirstead of Kaufman Brothers. Please go ahead, sir.
[Shaquille Long] – Kaufman Brothers: Hi, this is [Shatille Long] filling in for Karl. Thanks for taking my question.
Liz Bauer: You bet.
[Shatille Long] – Kaufman Brothers: My first question is around the business tone. Last quarter you said that sales cycles were extended but you had a slightly more positive tone in that you noted that deal discussions were starting to pick up. This quarter you’re saying that clients continue to spend but not so much on nondiscretionary items. I’m just trying to reconcile these comments and just figure out which way the wind is blowing. Are sales cycles still extended? And has there been any change in how you’re viewing the business since the beginning of the year.
Peter Kalan: [Shatille], I would tell you that I think there's a consistency to what we are seeing today versus really the last two quarters, and that’s our clients are still cautious on their spending but they have challenges that they’re facing and they try to bring new products and face new competition. So they’re looking at solutions but they have to be ROI driven, they have to generate kind of something that’s very visible to their operations because there’s a lot of demands that they have within their business operations. What we’ve said is that discretionary spending that maybe in the past clients have been more willing to spend money on things that didn’t have a definitive short-term ROI – we’re not seeing that right now. But we are seeing interest in products, but the decisoning process is just very judicious in our clients these days.
[Shatille Long] – Kaufman Brothers: Okay, thanks. That’s helpful. And then another question is we’re hearing from one of your rivals that a big billing upgrade project at Comcast is experiencing some delays and actually may even be terminated. For the 60% or so of subs that you handle at Comcast, could there be any impact for you? Could there potentially be some upside?
Peter Kalan: Well let me first say what we do for our clients and the scope of services that we provide for our clients – Comcast being one of those – is difficult, complex work. Our systems are complex. And our clients’ businesses are evolving. What they’re trying to do against the competition and across their network is causing really for them to rethink what’s happening with their core infrastructures. So the core infrastructure is evolving as well. And any type of change you bring into a business can be difficult to be successful at. What we’re really proud about, [Shatille], in our business is that we’ve been successful first of all bringing our clients onto our next generation platform ACP, which has allowed us to put our clients in a position to be more competitive in the way they package and price and bring new products to the marketplace. It’s helped us over time as our clients have brought data services and voice services, and now moving to the commercial services and Wifi and Wimax – these are all things where we feel like we’ve been successful building upon our platform to help them drive really an evolution of their core infrastructure without doing a significant uplift. So we think we’ve got the right platform in place. We’re very proud… I’ll tell you I’m very proud of what our teams have done from developing and delivering these platforms to our clients. What we have to do now is to see if there’s desires and opportunities for our clients to really expand the footprint of services that we provide to them. Any time that we’re in a client and have a portion of their business - either it’s a product or a portion of their regions that we support - we always view that as an opportunity for us regardless of whatever a competitor is doing. And I think our competitors would expect the same thing. I’ll leave it at that. We like our marketplace position and we continue to remain very focused on expanding it.
[Shatille Long] – Kaufman Brothers: Okay, thanks. That’s helpful. I guess you can’t specifically comment but, could you say if the opportunity’s any greater due to some recent events or is that beyond what you’re able to comment on?
Peter Kalan: Yeah, I don’t think that would be appropriate just because the nature of our solutions are ongoing every day, and I think what we like to do is every day build upon our position with our clients regardless of what’s happening with the competition.
[Shatille Long] – Kaufman Brothers: Okay, great. Thanks for taking my questions.
Peter Kalan: You bet.
Operator: Thank you. Our next question is from the line of Shyam Patil with Raymond James. Please go ahead.
VJ Cory – Raymond James: Hi there, this is VJ Corey filling in for Shyam.
Liz Bauer: Hi, VJ.
VJ Cory – Raymond James: Hi there. My first question is do you think you guys could talk a little bit about your M&A strategy?
Peter Kalan: You bet, VJ. From an M&A perspective we’re really looking at responding to much of what I was just talking about in my comments about the marketplace. We are very focused about how do we provide feature and functionality to our broad solution set as it is that’s really going to help us help our clients manage the complexity of choices that consumers are demanding and that our clients are really looking to bring to the consumer set? So anytime you bring in more complexity to what a consumer has a choice of it adds complexity to how you service and market and really respond to them. And within that we see a lot more being done in the network. We see the network getting a lot of attention to one-off transactions and one-off offerings with products. And so when you think about what we’re trying to do we’re all really trying to make sure that we can be responsive to those clients and the new types of services and the things that are going to be happening close to the network. And additionally what we look at is assets that will help make us stronger in markets outside of our traditional – outside of the traditional cable and DBS. So when we see solution sets that can be additive to those two aspects and can accelerate our availability to come to market versus building it ourselves, that’s what you’d look for us to do.
VJ Cory – Raymond James: Okay, thanks. And just to kind of follow on that question, what additional verticals do you think you’d like to get into specifically over the next two to three years?
Peter Kalan: Well, we’ve talked about that we’re doing some investigation work around the utility market in North America. We’re doing some work today around some of the pharmaceuticals. But if you look at it on a broad basis, VJ, we really want markets where the service offering to the end customer is changing or the business is becoming more complex; and that there are a large number of if possible clients and end customers cause that means that the business is typically more complex. And then we think that technology can be a real value add for them. So we’ve been able to do that in our traditional cable and satellite market and we’re looking to do a similar type of growth and build out of capabilities in some of these more diversified markets.
VJ Cory – Raymond James: Okay, great. Thanks.
Operator: Thank you. Our next question comes from the line of Scott Sutherland with Wedbush Securities. Please go ahead, Mr. Sutherland.
Scott Sutherland – Wedbush Securities: Great, thank you. Good afternoon.
Liz Bauer: Hi Scott.
Peter Kalan: Hi Scott.
Scott Sutherland – Wedbush Securities: Randy, a question for you, I’m not sure if you gave it out. How much of your revenue is out of your non-core business?
Randy Wiese: It was about 14% for the quarter, Scott.
Scott Sutherland – Wedbush Securities: What was it last quarter, just to remind us?
Randy Wiese: It was about 16% last quarter.
Scott Sutherland – Wedbush Securities: Okay. So you know, it definitely looks like your core business had a better quarter. I’m seeing that subscribers are down quarter-to-quarter but the revenue seems to be up. Can you talk about kind of some of the moving pieces and how that plays out over time as triple play services cause more bundling but maybe are offering less services to more subscriber accounts?
Randy Wiese: Yeah. I think, Scott, there’s a couple different things and Peter actually touched on a couple in his comments. We continue to really provide additional solutions to our clients in really two areas. One is in helping them rollout new services. So it’s not one special application; there’s many different applications that we’re delivering so it’s hard to point to one item. The second category is really around how do we make our clients’ operations more efficient? And we had a couple of pretty good software transactions during the quarter. Peter touched on one was Workforce Express which is a workforce automation tool, so it helps our clients be much more efficient with the dispatch of their technicians. So it’s really those two categories: just traditional products to help roll out new services and really to help our clients’ operations to be more efficient.
Scott Sutherland – Wedbush Securities: Okay. And about six, nine months ago you saw some market share gains in the broadband market. Are you seeing any more opportunities to gain market share or do you have to push to international or other types of markets to gain share?
Peter Kalan: Scott, this is Peter. You’re referencing our success that we had in Charter where we picked up the other half of Charter that we didn’t have previously, and some other unnamed subscribers that I think at the time we were estimating a total of about $3.5 million between all those. And we have been very successful in getting those migrated over to us. We always look at initially any time we have a client where we don’t do 100% of the business with them, especially for our core, kind of billing IT services. We think as we’ve proven ourselves with our clients we look to expand and take a bigger share as we did with Charter. Those opportunities are Comcast and Time Warner and Broadview, our larger clients that we don’t have 100%. But we know that’s very lumpy and you don’t forecast that in the short-term because those are significant commitments that clients make. So we do look at those as opportunities. The other clients where we don’t have a large footprint like we do with those names, we loot to get more product in. And there’s some prospects we really have no relationship with that we’re always looking to get in. But where you’ve been proven and you work with the clients every day is perennially your highest probability of just market share wins. But we know we can’t just subsist on what’s happening in North American cable and satellite cause it’s a business that’s going through offering change, not subscriber penetration of just new organic growth and number of subs. So that’s why we’re looking at some of the new verticals in North America, and we’re keeping our eyes open on expanding our footprint really from a geography perspective to see if there’s things that we could take. But as we’ve talked about before, you have to make sure you have scale as you go after new markets, whether it’s verticals or geographies, because organic growth can be a long tail on that and you want to be sure that you have the ability to make it successful.
Scott Sutherland – Wedbush Securities: Alright, thanks.
Peter Kalan: You bet.
Operator: Thank you. Our next question comes from the line of Tom Roderick of Stifel Nicolaus. Please go ahead.
Chris Koh – Stifel Nicolaus: Hey guys, this is Chris Koh for Tom.
Liz Bauer: Good morning. How about the new name at the… Oh, I guess it was last time also.
Chris Koh – Stifel Nicolaus: Yeah, we’ve had a lot of fun doing the transition as you can imagine. I’m sure you guys are experts at that with all of your tuck-ins, although we’re probably a little bit bigger than a tuck-in. But yeah, so I just wanted to, I have a feeling I know what the answer to this is, bust just as far as the revenue mix – obviously you mentioned you had a couple of good software deals in the quarter and the processing is unusually low, I would say it was down sequentially. Can you kind of give us a little color to why that occurred? And do you expect like a bit bigger than normal bounce-back in Q3?
Randy Wiese: Yeah, I think what you’re seeing is a pretty strong Q1 for some specific statement of marketing work that we had done that’s somewhat seasonal. That hit in the Q1 so I don’t think its’ anything to be concerned about. I think if you looked at last year you probably saw a slight spike too. So nothing of great significance – just a little seasonality and a couple of print jobs we were doing.
Chris Koh – Stifel Nicolaus: Okay. So going forward though you’d expect a fairly steady, pretty much keeping with the historical ramp in processing revenues?
Randy Wiese: I think our history would show that there’s a lot of consistency on our quarterly revenues on the processing side.
Chris Koh – Stifel Nicolaus: Got it, sounds good. And then as far as the, oh, you guys talked a little bit about Quaero and then also that the marketing budgets don’t really seem to be filling up right now. So is Quaero the exception or is that something you’re just trying to get people to listen to? Can you talk a little bit about you know, how much success you're actually having trying to get the message across?
Paul Kalan: Well, a couple things on Quaero. We’ve known Quaero for about 18 months. We have been spending the time going through the integration work and we feel very comfortable with where their integration is. They didn’t have the brand recognition in the traditional cable and satellite space, and quite honestly CSG didn’t have recognition for being really, kind of having strength in the traditional marketing departments within our clients. And so we’re content to work and build relationships there, knowing what our opportunities are, but we haven’t made the type of success that I would say is driving that part of our business right now. And from the Quaero perspective, they continue to build, as I talked about with the biopharmaceutical firm, success in non-traditional cable and satellite markets for us. It's, remember it was a very small tuck-in business and they are helping bring some of our products to their clients. And as we continue to build out what's really our value proposition of marketing intelligence coupled with how do you bring it to the actually consumer. We think that’ll continue to build credibility for the cable and satellite customers as well.
Liz Bauer: And Chris, if I can just add one point. When we talk about discretionary spending in marketing services and advertising, it’s not just limited to Quaero. We have quite a few products and services that are more marketing in nature – whether it’s our interactive messaging or some of our e-Care applications, or any of the interactive management. Oftentimes when budgets are being more cautiously applied those are some of the areas in which spending doesn’t go gangbusters. So when we talked about the marketing stuff it’s not just limited to Quaero.
Chris Koh – Stifel Nicolaus: Good, thanks for the clarification. And then just a couple of housekeeping questions. One, as far as the amount of the data center expense that was in depreciation, Randy, I don’t know if you broke that out for us.
Randy Wiese: I can give it to you. It’s about $700,000 for the quarter.
Chris Koh – Stifel Nicolaus: Great. And then as far as, Peter, I don’t know – maybe Randy might have mentioned this. But as far as the personnel investments that you talked about in Q3, can you just kind of go into a little more detail as far as what type of investments you’re making there? And then I just want to make sure I heard correctly – did you say that the second half margin will be roughly in line with the Q2? Thanks.
Peter Kalan: We’ll tag team this a little bit, Chris. I’ll talk about where we’re focusing in our investments. We’re putting dollars and people into R&D and operational roles in those areas where we are projecting growth and investments in our products. That can be anything from a Content Direct group to things that support our commercial services that our clients are rolling out. So you see areas in that are where we’re looking to put people. And the second part of his question, Randy?
Randy Wiese: Yeah, I think if you look at our guidance it would indicate that there’s a lot of consistency between Q2 and the second half of the year, probably a slight up tick if you do the math to get to where my full-year guidance is. So a lot of consistency; possible, slight up tick.
Chris Koh – Stifel Nicolaus: Great. Thanks, guys.
Liz Bauer: Thanks, Chris.
Operator: Thank you. Our next question comes from the line of Shaul Eyal of Oppenheimer Funds. Please go ahead. Pardon me, Shaul. Your line is open for questions at this time.
Shaul Eyal – Oppenheimer & Company: I’m sorry. Hi, good afternoon, guys, good quarter.
Peter Kalan: Thanks, Shaul.
Shaul Eyal – Oppenheimer & Company: Two quick questions. One on the heels of maybe the kind of R&D and hiring plan – can you guys maybe kind of quantify to us in hard numbers what are the plans for the second half of 2010? And maybe as you start thinking down the road in 2011? And then I had another follow-up.
Peter Kalan: Well, I don’t think you’re going to see a specific shift in the R&D as a percentage of revenue in the second half of the year. I think you can, based on how you look at modeling our revenues you should probably assume that things are going to be consistent with what we’ve done in the past. Anything to add to that, Randy?
Randy Wiese: No, I’d say you’re right. There should be a slight up tick in the R&D but the operational personnel, you’ll probably see them come through the cost of goods sold line. So it’s not all going to come through R&D. Does that help you quantity it, Shaul?
Shaul Eyal – Oppenheimer & Company: Yeah, that's fine. That’s fair, that’s fair. Not a problem. And the other thing, I want to go back to one of the earlier questions with respect to the whole Comcast and NBC. And I know with respect to that, Peter, you said you’re seeing no changes kind of in the near- and mid-term, but maybe more form a broader perspective: are you hearing, are you seeing about any reassessments, not necessarily in respect to your relations but generally speaking? When a new guy come to down he wants to think about kind of reassessing his investment strategy. Anything along these lines that you might be seeing?
Peter Kalan: As it relates to- If, Shaul, you’re talking about the impacts from an NBC/Comcast/Universal, there’s nothing that I can really think of at this point that we’ve seen. There’s separate management teams and of course, as we all know, Neil Smit was brought in to Comcast from Charter to run the cable operations and Steve Burke has Neil Smit focused on that and then is going to have a head of NBC Universal reporting, running that business separately. I think there is still a lot to play out between what types of obligations that they’re going to have to protect the distribution agreements they’re going to have from one type of network operator versus another, and such. And so they’re really distinct businesses at this point but we believe long-term that there is going to be the opportunity to be creative and think about distributing content along the way. That’s not Comcast speaking – that’s our perspective looking at the marketplace.
Shaul Eyal – Oppenheimer & Company: Sure.
Peter Kalan: And how that plays out, whether they accelerate investing in one area versus another, it’s ye to be seen. We know this, though – we believe very strongly that the business models will continue to evolve and the way that products get delivered to end consumers will continue to evolve, which will require investments by the traditional network operators like Comcast and Time Warner and others. So we don’t see them baking away from investments because the business models and the competitive marketplace continues to evolve and new threats are brought to them every day.
Shaul Eyal – Oppenheimer & Company: Got it. That’s very helpful, thank you for that.
Liz Bauer: You bet.
Operator: Thank you. (Operator instructions.) Our next question comes from the line of Lauren Ye with JP Morgan. Please go ahead.
Lauren Ye – JP Morgan: Hey guys, this is Lauren for Sterling Auty. How are you?
Liz Bauer: Good! How are you, Lauren?
Lauren Ye – JP Morgan: Good. Hey, just a couple of questions here. So you’d mentioned the Time Warner I guess commercial services relationships. Does this extend your entire contract with them or anything like that and how does that affect the RPU with that account?
Peter Kalan: Let me first talk about the contractual terms of it. Think of this as a new product or service that would be an amendment to the existing master agreement that we have. We write master agreements that really kind of provide an umbrella structure that clients can then commit to new products and services without changing the underlying term and scope of, the kind of basic T’s and C’s of the contract. So this should still be viewed as part of that lengthy term that we have on the contract to 2013. From an economic perspective, from an RPU… Do you want to take on that?
Randy Wiese: Yeah, Peter, I’d say it’s like many core products - when we first roll them out it really is highly dependent upon the success of our clients’ use of the product. Initially, since there’ll be small roll out until they get fully implemented it won’t have a lot of impact. And then everything is highly dependent on how successful they are in their endeavors on the commercial side as to how impactful it is to our revenues.
Peter Kalan: You know, Lauren, if I was just to add some color, not specific to commercial services but I think to add to what Randy was talking about. The nature of our business model is that we provide a platform for our clients to drive out their incremental services, just like we drove, provided a platform for our clients to bring out voice services. In the early stages we had very few subs and it wasn’t very incremental to our revenue. And now as we talked about earlier on the call we’ve got 10 million subscribers on our platform which have rally provided long-term incremental growth for us on the revenue line. And you have to think about the commercial services in the same way – it builds over time and you know, hopefully we’ll have 10 million small- and medium-sized businesses on our platform driving revenue. But you're not going to see an impact in the near term – we build for the long haul.
Lauren Ye – JP Morgan: Okay, great. This is my next question: I think you mentioned that non-cable revenue was 14%. Looks like it’s down a little bit from March quarter. Anything going on in those verticals?
Randy Wiese: No, I would say that you should expect some small fluctuations between quarters. Our goal of long-term is to grow this portion of our business. So it was 16% in the Q1, 15% last year and we’re looking to grow it as we go forward.
Lauren Ye – JP Morgan: Okay. And just the last question is I guess of your top four customers, just kind of curious in terms of what their activities are in each of them. Where do you think the opportunity is, or the most opportunity from Comcast, Dish, Time Warner, Charter?
Peter Kalan: Well, our number one focus, Lauren, is that as they deliver new services that we facilitate that for them cause that makes us a vital partner, as well as making sure that we can help them really get more efficient in the way that they operate their business; and drive not just more efficient operations but operations that enhance the customer service so that the end consumer has a positive experience both in service and the end product they receive. That’s where our near-term focus is, and how that evolves over time we think is you know, is going to help us continue to get deeper and deeper with our clients as it has in the past.
Lauren Ye – JP Morgan: I guess maybe if I could try asking that question another way. Just kind of curious, I guess, of the four is there one of them who’s more active in their investments these days?
Liz Bauer: Are you asking for a pipeline report?
Peter Kalan : Well, just as you think about the fro major clients, the four major clients are Comcast, Time Warner, Dish and charter. You know, three of those four clients are traditional cable operators that are actively focusing on rolling out new services across their network. And those I think would hall have fairly consistent focuses of how they continue to invest to evolve their businesses. While Dish Network is continuing to compete very aggressively in the marketplace but with a different business need than what the others are. So I'm not going to say that one is more aggressive with their investment but they all have different dynamics going on, and our focus is we’re going to invest in all four of those to make sure that we’re successful.
Lauren Ye – JP Morgan: Okay. And has that changed since last quarter?
Randy Wiese: You know, I think when you look at the broader dynamics that are happening in the marketplace, I think every one of our clients is seeing a similar type of focus on their business, and I really don’t think there’s been any kind of significant change.
Lauren Ye – JP Morgan: Okay. Great, thank you.
Operator: Thank you. At this time there are no further questions. I’d like to hand the call back over to management for closing remarks.
Peter Kalan : Thank you, Lorenzo. I just want to thank everybody on the call for your continued interest in support of CSG and importantly, I want to thank our employees who successfully continue to deliver on behalf of our clients new products as well as the data center migration that we’ve been successful for the first half of this year. We continue to perform and we look forward to continuing to perform in upcoming quarters, and we’ll talk to you in about three months. Thanks.
Operator: Ladies and gentlemen, this concludes the CSG systems Q2 2010 results conference call. Thank you for your participation. You may now disconnect.